Operator: Good morning, and welcome to the Halyard Health Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Dave Crawford, Vice President, Investor Relations. Please go ahead.
Dave Crawford: Thank you, and good morning, everyone. It is my pleasure to welcome you to the Halyard Health second quarter 2016 earnings conference call. With me this morning are Robert Abernathy, Chairman and CEO; and Steve Voskuil, Senior Vice President and CFO. Robert will begin with an assessment of our second quarter performance and discuss the progress we are making on our 2016 objectives. Then, Steve will review our second quarter results and provide additional detail on our outlook for the balance of the year. We will finish with Q&A. A presentation for today’s call is available on the Investors section of our website halyardhealth.com. As a reminder, our comments today contain forward-looking statements related to the company, our expected performance, economic conditions and our industry. No assurance can be given as to the future financial results. Actual results could differ materially from those in the forward-looking statements. For more information about forward-looking statements and the risk factors that could influence future results, please see today’s press release and our prior filings with the SEC. Additionally, we will be referring to adjusted results and outlook; both exclude certain items described in this morning’s press release. The press release has further information on these adjustments and reconciliations to comparable GAAP financial measures. Now, I will turn the call over to Robert.
Robert Abernathy: Thanks, Dave and good morning, everyone. I appreciate your interest in Halyard Health. We’re midway through 2016 in making solid progress on our transformation toward becoming a leading medical device company. We previously talked about achieving two objectives this year, delivering our 2016 plan and fueling our growth pipeline. Today I’ll provide an update on both. Let me talk first about delivering our 2016 plan. I’m pleased to report we delivered another good quarter with adjusted diluted earnings per share of $0.45 and net sales of $400 million, a 3% increase over the prior year. Given our strong start to the year with two solid quarters of performance behind us, we are raising guidance for our full-year adjusted diluted earnings per share by $0.20 million to a range of $1.70 to $1.90. From a segment perspective, Medical Devices grew 12% in part due to our CORPAK acquisition. But also thanks to our organic performance, which was inline with our expectations. I’m also pleased that in S&IP, in spite of the challenging environment we were able to repeat our performance from last quarter. Sales grew overall by 1% despite a price loss of 3%. We’re also excited about the progress we made against our second objective, tooling our growth pipeline through strategic acquisitions and innovation. Let’s being with our recent acquisition of CORPAK, a leader in the enteral feeding market with diverse products that complement our digestive health portfolio. We’re three months into the CORPAK integration I’m pleased with our progress so far. As I mentioned, CORPAK is accelerating the results of our Medical Devices business and the integration is proceeding on plan. I’m confident that we are well-positioned to deliver or exceed our expected commitments as we progress through the year. We’re also fueling our growth pipeline through other strategic investments, including increased research and development spending to develop new products, differentiate our portfolio and introduce innovation to maintain Halyard’s market leading positions. To date, we’ve launched six new products and we remain on track to launch 10 this year. Medical Devices, we recently launched a new initial placement kit for enteral access. This product establishes Halyard as a leader in adopting new industry standards in our Digestive Health category. Additionally, we have submitted two 510(k)s for innovation in our surgical pain category and plan to launch additional new medical device products this year. Turning to S&IP, we launched new exam gloves that enhance our portfolio in the non-acute care market segment and in our Europe, Middle East and Africa region. Our Black-Fire dual protection glove, features breach detection technology, which is designed to protect first responders in a verity of situations. This glove features a black side and a high-visibility orange side, enabling EMS professionals to quickly identify breaches in protection caused by cuts and tears. Also our Flexaprene glove, designed for dental professionals is made from chloroprene and is an alternative to latex gloves. These gloves feature a powerful grip and tactile sensitivity comparable to latex without the risk of allergic reactions. In our surgical category, we launched AREO Chrome performance, an AAMI level 4 surgical gown that combines a full range of protection for high-fluid procedures with an unprecedented level of comfort. These are great examples of Halyard bringing innovation to the market and demonstrate our commitment to improving outcomes and safety and reducing the cost of care. Another key aspect of our transformation into a leading medical devices company is our ability to generate cash, which we used to fund our strategic investments. I’m pleased to say that our free cash flow for the quarter was higher than expected and we anticipate positive cash generation to continue through the balance of the year. Overall we have built some momentum that we’ll take into the back half of the year, thanks to our solid earnings, ongoing CORPAK integration and new product launches. Our transformation into a leading medical device company is progressing well and our job is to continue to deliver in the second half of the year and beyond. With that, I will turn it over to Steve for a more detailed look at the quarter and our outlook for the balance of the year.
Steve Voskuil: Thank you, Robert. Second quarter sales increased 3% to $400 million, including our CORPAK acquisition that contributed 2% of the growth. Excluding the expected $5 million decline in corporate sales, volumes increased 4%, partially offset by 2% lower selling prices. Adjusted gross margin was 36% for the quarter, compared to 35% a year-ago. The increase was driven by the shift in our product portfolio with the addition of CORPAK, favorable currency exchange rates and lower distribution costs, as we cycled against the quarter impacted by the West Coast port disruption. This favorability was partially offset by lower selling prices in S&IP. Adjusted operating profit and operating margins were $41 million and 10% respectively, compared to $48 million and 12% a year-ago. Improved gross margin was offset by planned higher SG&A investment in R&D spending to support future growth. During the quarter, we incurred $2 million of post-spin related charges, $9 million in acquisition-related charges, $6 million for litigation matters and $6 million in an intangible amortization expense. Adjusted EBITDA was $52 million for the quarter, compared to $58 million in the prior year. As Robert mentioned, we reported $0.45 adjusted diluted earnings per share for the quarter, our performance was impacted by three factors: first, anticipated lower S&IP selling prices were partially offset by increased sales volumes, largely in our higher margin Facial Protection category. Second, favorable currency exchange rates benefitted our results. And finally, commodity prices were more favorable than expected. Now turning to our segment results. Medical Devices delivered another solid quarter of growth, increasing 12% to $142 million, driven by 5% organic volume growth and 7% growth attributed to CORPAK. Higher volumes were partially offset by 1% unfavorable selling prices. In Digestive Health, sales volumes benefitted from the timing of orders in our international regions and continued growth in North America. Additionally, COOLIEF contributed another quarter of strong growth in interventional pain in North America. Finally, ON-Q growth continued giving us a full-year of growth, supported by the increasing awareness and acceptance of non-narcotic pain therapies. Medical Devices operating profit for the quarter was $29 million, a decrease from $33 million a year-ago. Higher sales volumes and favorable currency exchange rates were offset by planned increases in SG&A and R&D spending to fund growth. Turning to S&IP, net sales increased 1% to $257 million. Sales volumes for the quarter increased 4%, volume growth continues to come from our focus on exam gloves and an increased demand in facial protection due to the late cold and flu season. Globally, our sales volumes in surgical drapes and gowns for the quarter were even compared to the prior year. We are encouraged to see minimal sales loss due to the adverse media exposure related to MICROCOOL gowns. With that said, we anticipate sales headwinds in the second half of the year, due to a recent transition of a significant customer to a GPO, where we are not currently on contract. S&IP sales volume gains were partially offset by 3% lower selling prices, concentrated in exam gloves and sterilization. While the S&IP market remains challenging our price loss was at the mid-point of our expectation. For the quarter, S&IP operating profit was $25 million, compared to $26 million in the prior year. The impact of lower selling prices was partially mitigated by increased sales volumes, improved cost savings, lower distribution costs and favorable currency exchange rates, compared to last year. Turning to our balance sheet and cash generation, we ended the quarter with $79 million of cash-on-hand. Cash from operating activities, less capital expenditures or free cash flow, totaled $45 million for the quarter. With our strong financial profile, and the expectation to repay our CORPAK borrowings by year-end, we have acquisition capacity of up to $400 million to execute additional transactions furthering our company transformation. For the balance of the year, we expect to continue to generate strong cash flow, which we will use to fuel future growth. Shifting to our guidance for the year, as Robert mentioned, we are raising our full-year adjusted, diluted earnings per share guidance to a range of $1.70 to a $1.90. Based on current trends and our visibility into factors that could affect our performance, we are also updating the following key planning assumptions. Total net sales, on a constant currency basis, including corporate sales of $5 million to $15 million, but excluding CORPAK are expected to improve from a decline of 2% to 5% to a decline of 2% to 4%, compared to 2015. We now expect S&IP net sales on a constant currency basis and excluding net sales to Kimberley Clark to improve from a 3% to 5% decline to a 2% to 4% decline, compared to 2015. We anticipate the foreign currency translation impact to net sales will be flat, which is an improvement from our previous guidance of a negative impact of 0.5% to 1.5%, compared to prior year. Based on our commodity outlook, we now anticipate inflation from key inputs to be unchanged from the prior year, a change from our previous guidance of $5 million to $10 million of inflation. The balance of our 2016 key planning assumptions, which we provided on our year-end 2015 conference call on February 29 remain unchanged. In summary, I’m pleased with the progress we made on our objectives of delivering our plan and fueling our growth. We’re at the midpoint in the year and we’ve increased our guidance, the CORPAK integration is on plan and we have a strong balance sheet. We are well-positioned to continue advancing our transformation into a leading medical devices company. With that operator, we are ready to take questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] Our first question comes from Rick Wise of Stifel. Please go ahead.
Rick Wise: Good morning, Robert and hello everybody. Robert congratulations on the good quarter really encouraging.
Robert Abernathy: Thank you, Rick.
Rick Wise: Just to start off, maybe you could focus on S&IP a little more. Obviously this is the second quarter of sort of more stability, better performance from S&IP. How confident are you in a broad sense that we are now sort of sustainably on more solid predictable sort of historically normal ground despite the variables that pluses and minuses. And maybe if you could just as part of that Robert talk a little bit more about are we past the worst of the concerns about MICROCOOL and the potential headwinds there?
Robert Abernathy: Yes. Thanks for the question Rick. Let me first say, how pleased I am with our S&IP business in the first half of the year. It has really delivered stronger volumes than we anticipated and as a result of those stronger volumes we’ve got some momentum going into the second half of the year. So we feel good about that. With that said, price loss continues to be exactly where we thought it would be midpoint of the range at 3% price loss and we still anticipate that level of price loss going into 2017. So there’s still the sort of dark clouds around the price loss part of S&IP. The volume gains have been encouraging, particularly in our glove business. That’s one where we added increased focus – really ever since the spin and we’re clearly gaining some market share in the glove category. So we feel confident about that. Now in the back half of the year, there are going to be some headwinds that will have to face and with S&IP in terms of volume. Steve mentioned a significant customer that shifted to a GPO where we’re not on contract. We did have some businesses that we lost at the end of last year and while we transition some of those during the first half of this year, we’ll see more impact of some of those lost accounts later this year. We’ll continue to see price loss as I mentioned. And we’ll also be cycling against some tougher quarters, particularly on exam gloves, where we were ramping up late last year with some increased sales in the second half of last year. So this business, S&IP, will continue to be competitive. But we’re encouraged by a more balanced sort of equilibrium that we’ve been able to achieve thus far this year. Second part of your question is relative to MICROCOOL that’s really gone very quite following the 60 minutes report. I think our crisis plan focusing on customers, employees and investors has been very effective, our S&IP team and our sales organization did an outstanding job of getting to customers literally customer, by customer, by customer to reassure in terms of the key talking points that our products are now and have been safe and effective, that was clearly heard. We do anticipate losing about $2 million worth of our surgical sales in North America and that’s out of an over $200 million category. So we do anticipate that but we’re pleased that the loss is not at the level that we had once feared. So encouraged by S&IP, great first half of the year, some headwinds coming in the second half and a big issue that’s still on the plate is price loss. And we’re hoping to see price loss start to drop off certainly in 2018.
Rick Wise: One quick follow-up and another question. The account that switched to another GPO, can you quantify that for us? And last Robert, M&A and clearly it seems like CORPAK initially is going well. But can you talk about the activity around what’s next? I mean, clearly your balance sheet is in good shape, cash flow is great. What should we expect and when should we expect it? Strong possibility of something else this year. Thank you so much.
Steve Voskuil: Sure, let me first talk about the accounts that shifted from one GPO to the next. And it's Tenet. Tenet switched from MedAssets to HPG and we're not on the contract with HPG. And we were a dual on the contract with MedAssets. And Tenet is a big customer they have 100 facilities, almost all of which are acute care hospitals. We will see some loss of sales across the Tenet hospital customer base. Obviously will work hard to hold on to as much of that business as we can but we are anticipating the back half of the year to see some S&IP losses as tenant switches to HPG. CORPAK clearly has gone very well. We are pleased with how we started off with the CORPAK acquisition. I would say all of the planning assumptions that we had in place in terms of maintaining the growth of the business in that sort of mid single-digit range is happening. The integration process is exactly on schedule as we thought about. So we have a high confidence level that we will be able to deliver the $0.05 of earnings accretion this year and $0.15 of earnings accretion next year. And we're feeling good about our capacity to do another acquisition. So relative to your last question, is there a strong possibility. The business development group is in active discussions with bankers and with companies. We have been actively in the process even this last quarter. But clearly we feel good about our ability both from a cash standpoint and from a capacity, human resources capacity standpoint to do an acquisition. But most likely it would fall into early next year or mid-next year.
Rick Wise: Thanks again. 
Steve Voskuil: Thank you. 
Operator: Our next question comes from Laurence Keusch of Raymond James. Please go ahead. 
John Hsu: Good morning gentlemen, this is John Hsu in for Larry how are you? 
Robert Abernathy: Good John, how are you? 
John Hsu: Doing well thanks. Robert if we could start and maybe going back to S&IP, the volumes obviously came in stronger than you have been talking about, you did call out a benefit for late flu. I think you also mentioned inventory destocking in the 2Q of last year. So again, could you kind of help us parse out some of the pieces and kind of what helped drive that volume versus the kind of 1% range that you've talked about historically?
Robert Abernathy: Yes, the biggest benefit that we had in Q2 of this year relative to last year would be the late cold and flu season and sales of our facial protection category. That one swung the number more than any other item. But we are continue to see a ramp up of glove sales that would be the second big one is that we really started to seeing a ramp up of glove sales about mid-year last year, built some momentum through the third and fourth quarter of last year, now both first and second quarter of this year we’re seeing a ramp up in volume with the glove business. So those are the two that kind of stand out in terms of the overall category growth.
John Hsu: Okay. Great. And then just one more on S&IP and then a quick one on med devices. Just your latest thoughts obviously I got your thoughts on that large contract, but how is the second half teeing up and what are you expecting regarding the GPO agreements? I believe you have roughly 50% of your revenues tied up for GPO agreements that kind of tee up in the back half and renew and then kind of again if you could just walk us through your latest thoughts on the risk of price loss related to those.
Robert Abernathy: Yes, we obviously do expect price loss in S&IP on virtually any GPO contract that’s negotiated. This is the second year of three years of renegotiating those contracts after commodity prices and particularly polymer and nitrile prices dropped sharply in the fourth quarter of 2014. So we do expect price loss on any contracts that get negotiated this year and next year with GPOs. This happens to be a busy year for GPO negotiating contracts, because we’re renegotiating our largest contract which is now the busy and surgical contract. It will go into effect April 1 of next year but it’s being negotiated this year. We’re about halfway through the negotiation process, it’s going exactly as you would expect. There’s a technical part of the contract negotiation and there’s a pricing part of the contract negotiation. So we’re well along in that process now. And we’ve had a contract with Novation and MedAssets. Now as they combine we’ve hand contracts with Novation for three decades. We have high confidence and certainly expect that we will be on that contract when it’s awarded later this year.
Steve Voskuil: The only thing I would add John is, as we look at this year our current S&IP price guidance anticipates the renewals, most of the renewals we’ll be looking at in the back half will have more impact as we look at 2017, so.
John Hsu: Okay. Great. And actually maybe if I could switch gears to free cash flow. Obviously you’ve put up some pretty nice numbers in the first half I believe you've generated just over – $80 million in free cash flow. Yet you kind of kept this guidance the same at $100 million plus, so could you kind of just walk us through is that conservative? What’s driving, keeping that guidance constant despite the out performance in the first half? Thank you.
Steve Voskuil: Yes, the $100 million is conservative. We got $80 million of free cash flow already, we continue to generate strong cash. We had our strongest cash generation quarter, since the spin off was the second quarter cash generation. So we feel good about the cash generation. There will be some things that hit in the second quarter that will cause the cash generation to be lower than – I mean in the second half that will cause the cash generation to be lower than the first half. We’ve got bigger tax payments that we make in the second half because we got a tax rebate in the first half that allowed us to have lower tax payments in the first half. We have slightly increased capital spending in the second half, not dramatically. We’ve also got some additional spending that's planned across some of the businesses themselves. So we will have some slightly higher, but I think the $100 million is clearly conservative with already $80 million in the bank.
John Hsu: Great, thank you.
Operator: Our next question comes from David Lewis of Morgan Stanley. Please go ahead. 
Jon Demchick: Good morning, this is actually Jon Demchick in from David. 
Steve Voskuil: Hi, John. 
Jon Demchick: I wanted to start by following up on some of the earlier questions on S&IP. You listed some headwinds, the guidance it does imply that the positive 1% growth that we have seen in the first half kind of shifts down to may be a 5% decline into the back half. It sounds like pricing expectations that stayed relatively constant. So the main variable that looks to take a stepdown is volumes. I mean you walked through some of the headwinds but just given the extent of the change is it possible to kind of think about these in buckets of how much they really impact that. For example, I mean, obviously tenant is probably the main difference here. Is that accounting for half of that expected change from the first have to the back half? How should we be thinking about that from a quantity perspective?
Robert Abernathy: No, I don’t think it would represent as much as half. I think price loss is still the biggest component of that will hit S&IP in the second half. But in terms of volume itself we're cycling against some tougher quarters. So I think particularly in exam gloves I think that’s going to have a big effect. You'll probably remember Jon that in the first quarter of this year where we posted a 4% improvement in volume. I said really kind of think of that as being flat to prior year, because we had that loading for pandemic preparedness in the fourth quarter of 2014. We then had the de stocking in one year by distributors and the restocking the following years. So I said really think about that first quarter this year as being more like flat. And then the second quarter is a legitimate 4% up because of the – really more of the facial protection volume and gain from cold flu. So I think there is some things that if you really look at the volume, that the second half we’re not going to be having some of those favorable events that occur. But the things that really do hit us you mentioned clearly the tenant move to HPG will impact us, I think that’s going to have a material effect on volumes for the reminder of the year. And then the loss businesses we lost a couple of big accounts end of last year that – we held on to some of that business through the first part of this year. But we’ll see more of that loss coming as the year goes on.
Jon Demchick: Okay, that is very helpful. And just to kind of clarify it sounds like with some of the one of the things happening in the first half, it sounds like that the basic growth of the S&IP on a volume perspective is still in the sort of like 1% to 2% area is that the way you’re looking at it?
Robert Abernathy: Yes, that’s how we would look at it. We still think that this is a category it is growing about 1% or so based on hospital and surgical utilization rights. And we’re constantly focused in maintaining or growing our market shares over time we would be focused on making sure that we have a bit of a portfolio play. We’re doing some things on the price side to make sure that we hold market share and doing some other things in some categories to make sure we’re able to grow some volume. So it’s something we’re constantly looking at to balance that price versus volume equation.
Jon Demchick: Very helpful. Just had a quick follow-up for Steve on gross profit. First half of the year it’s definitely come in a lot stronger than I think we would have expected too on the gross profit side, especially given the strength in S&IP. If we head back into the back half of the year and into next, is there a reason why you can’t maintain these gross margin levels where they currently have been? I mean obviously you have the benefit of I guess less of a headwind from both commodities, as well as FX. And then you’re going to have device mix I guess building even more with CORPAK into the back half and into the next year. I mean is the sort of 36% level the right baseline to be looking at now.
Steve Voskuil: Yes John that’s exactly right. I think we’re feeling more optimistic on the gross margin side obviously what you said, we’re getting some tailwind on the manufacturing currencies right now. And we’re not seeing the commodity inflation, so those two pieces. And then we are starting to see the device impact in the mix and with CORPAK coming in a bit in the second quarter and more as we go forward, that is going to ramp up from a gross margin standpoint. So, yes you’re exactly right. We would try to call it flat versus closer to 35% maybe we would add in our last conversation.
Steve Voskuil: No I’m pretty encouraged John about gross margin moving from 35% to 36%. But the real encouraging thing is the proof point around improving our margins as we shift the mix through acquisitions. The CORPAK acquisition added about 60 basis points of gross margin for us. And as we talk about growing this business into being a leading medical devices company and improving margins through strategic acquisitions that accelerate our growth and improve our margins. CORPAK is a really good proof point on that.
Jon Demchick: Thank you very much.
Operator: Our next question comes from Dave Turkaly of JMP Securities. Please go ahead.
Dave Turkaly: Hi, guys wanted to just to start off, maybe give us a little more color on the 510(k)s in the surgical pain area that you filed?
Robert Abernathy: Yes, we’re not ready to give details on that. We file those there will be two of the product launches in our surgical pain business that will be happening later this year. So we’re – I’m going to say the details for our marketing team who likes to make a big splash with some of these launches.
Dave Turkaly: Okay, that’s very [indiscernible]. And then on queue just cover I mean I think you said it grew, but can you put us in a ballpark of what it grew year-over-year?
Robert Abernathy: Yes, it continues to grow in that kind of mid-single-digit range as we predicted. This is our fourth quarter of growth we had predicted it would return to growth following the – understanding about how effective our product is relative to competitor’s product in terms of giving up to five days of pain relief based on the size of the elastomeric pump. And others not being able to deliver that level of pain relief for that time period. In addition to that there’s just so much that’s in the press now about the use, the over use of narcotic pain medications, even federal government getting involved now to start to set some legislative parameters around usage. So we think those two things, the effectiveness of our product and all the increased publicity that’s out there about opioids is really going to keep this business in growth mode.
Dave Turkaly: Last one for me just looking at the increased year EPS guidance for the year and sort of where the world is sitting next year. We kind of had always figured 2016 would be sort of a trough from the EPS standpoint. And I know there’s a lot of moving parts for you guys but certainly on the pricing side and S&IP but some good things happening on devices, good things with margins. If you think it’s still prudent to consider 2016 is sort of a tough year in EPS. And given where your range is now for the year and what consensus is next year that people actually would assume there will be more of an increase?
Robert Abernathy: Yes I think there is going to be a number of moving parts. But I like the idea of this being a tough year. Clearly we’re making some major investments this year, we’ve had a lot of price loss in S&IP this year, but as we are – it’s too early for us to give any guidance or even kind of estimates for 2017. But we do know price loss in S&IP will continue next year, probably at a similar rate to what we’re seeing this year. So we’ll have to overcome that. But I’m very encouraged by CORPAK, adding $0.15 of earnings accretion from the CORPAK acquisition, clearly gives us kind of a head start on next year. I am clearly encouraged by our Medical Device business growing exactly on the estimate that we’ve given. So I feel good about that one and the momentum it will have going into the next year. And the other thing I’m encouraged by is our innovation. Two years ago we launched three new products, last year six new products, this year ten new products and I’m not signaling as that line keeps going up year after year. But ten new product launches this year, we’ll see a bigger impact next year from volume lift from those products. So there are some encouraging things as we look out to 2017 that can help us overcome that price loss. The other big thing is you always know Dave is commodities and currencies. Those can swing our business pretty dramatically we’ve seen that over a series of years. Right now I have no reason to think that commodity and currency will move dramatically for the rest of this year or next year. But those always have the possibility of moving us positively or negatively.
Dave Turkaly: Thanks for all the color. 
Robert Abernathy: Thank you. 
Operator: Our next question comes from Matthew Mishan of KeyBanc. Please go ahead. 
Matthew Mishan: Good morning and thank you for taking my questions. 
Robert Abernathy: Good morning Mathew. 
Matthew Mishan: Hey, I guess first question is can you get on HPG and when do you get to bid on that? 
Robert Abernathy: We’re always – in fact I was there just recently, we have a very gifted leader that literally is the literally located calls and HealthTrust located in Nashville calling on HealthTrust we're always bidding his contracts come up, whether it’s a surgical project or face mask contract or apparel contract. We’re always in their bidding but it is just one of those GPOs that we have been less successful for with Novation, or MedAssets, or some of the others. But absolutely we are in their bidding and we’ve got our best talent on that account. 
Matthew Mishan: Okay. And then can you talk a little bit about the competitive landscape around COOLIEF and RF ablation, I think Boston scientific just bought a competitive product to that and again Boston Scientific and St. Jude with a broader portfolio with neuromodulation around the interventional pain? And talk about what the landscape there.
Robert Abernathy: Yes, it’s not a surprise to see smaller companies being bought up by bigger companies. This is a growth category as you know it’s the fastest growing business in all of Halyard Health it’s a double-digit grower. So when you have the ability to add companies like Neurotherm being bought by St. Jude and now Cosman being bought by Boston Scientific. That’s not a surprise those are businesses that we also would be very happy to add into our portfolios, those are the sort of businesses that fit our growth profile in terms of fast growing high-margin with a lot of runway left for growth. The number of competitors have been shifted, we have been competing against Neurotherm and against Cosman, particularly Cosman have strong positions in Europe. So we’ll be watching that to see if there’s any change in the competitive landscape as a result of being owned by Boston Scientific but they continue to be a good competitor and will now compete against them as part of Boston side.
Matthew Mishan: Okay, great. And then on the cost inflation side and the margin side even if the inflation is kind of flat this year you still have a significant pricing headwind – moving straight through the P&L. Can you talk about or quantify at least how much of that pricing headwind you think you are able to offset with productivity initiatives, restructuring and so forth.
Robert Abernathy: Yes, typically we’ve been able to – and you are exactly right. The pricing headwind is predominantly in our S&IP business in the midpoint of our price loss range would be 3%. So we have to overcome that. Traditionally we find about 1% cost savings in manufacturing and other areas to offset that. We are doing – we are delivering that again this year. So we find about 1% can overcome that. We clearly got objectives to deliver even higher than that amount cost savings over time to begin to reclaim part of the 200 basis points of margin that we lost from dis-synergies and 500 basis points of operating margin that we lost following the spin-off from Kimberly-Clark. So cost savings continues to be a key part of our overall strategy and delivering at least 1% and potentially higher as always in our plan.
Matthew Mishan: And then last one is on model. As you think about 3Q and the full impact of CORPAK how much SG&A is related to CORPAK specifically and then how much of the SG&A increases related to the investments?
Robert Abernathy: Well, both – I don’t have a hard number on those to share but we do have investments that are coming particularly our interventional pain business as we’ve added salespeople and we’ve added clinical affairs people and some researchers to really start ramping up that business. So we’ll continue to see SG&A ramp up as associated with that. As well as we will continue to – we picked up the SG&A that came with the CORPAK business also. So we do expect in the third quarter and fourth quarter to have SG& A go up slightly but not dramatically.
Matthew Mishan: Okay. Thank you very much.
Robert Abernathy: Yes, from Q2 that’s right.
Steve Voskuil: Thanks, Matt.
Operator: Our next question comes from Kristen Stewart of Deutsche Bank. Please go ahead.
Kristen Stewart: Hey, guys. Good quarter.
Robert Abernathy: Good morning, Kristen.
Kristen Stewart: Good morning. Just going back to I guess the tenant contract. How much of it what we see really impact 2016 versus I guess how much will fall into 2017? How should we think about that?
Robert Abernathy: Yes, we think you will get a good bit of the impact in the second half of 2016 and then of course the full impact next year. HPG seems to be a highly compliant group of hospitals there they are much more compliant than you might see from some of the other GPO organizations. So we expect that the hospitals will clearly run out inventory levels that we have with them. We'll work hard to hold onto some. Those that are inclined to not be as compliant on the contract but I think we'll see a big impact and that’s why we built that into some of the volume loss for S&IP in the second half of the year.
Kristen Stewart: Okay. They’re kind of half this year and half next I guess or maybe…
Robert Abernathy: I think that’s a good way to think about it.
Kristen Stewart: Okay. So I guess there was probably some haircutting of that contract probably coming in prior or when you gave guidance I guess originally.
Robert Abernathy: There was. We knew that contracts so we build some of that into the guidance already. But clearly it will – it is more comparing first half of this year to back half of the year. I think that’s where you will see the bigger swing in terms of first-half. Why didn't we have volume loss and why are we going to have S&IP volume loss in the second half.
Kristen Stewart: Okay. So I guess given that the guidance didn’t really changed I guess all that much are you just kind of tighten the range what is it that’s offsetting I guess a loss of this contract just better underlying performance or I guess just increased gloves. Gloves doing a little bit better.
Robert Abernathy: Yes, in terms of the guidance I mean clearly moved it up $0.20.
Kristen Stewart: Yes.
Robert Abernathy: So moving the guidance up $0.20 there is a number of positives. CORPAK is one element of that. That $0.05 was built into guidance previously, continued strong results in our devices business continues to feel very good. But the biggest difference really in the guidance is first, commodity price, where we get signaled $5 million to $10 million headwinds for the year. We are now saying that’s flat, so that is the biggest impact and then currency is the next biggest impact or we said that we are not going to see any impact on the sales line from currency. And we are going to see some operating profit benefits on currency. The other one that’s different that causes to raise our overall estimate would be S&IP volume in gloves predominantly.
Kristen Stewart: Okay.
Steve Voskuil: And the only piece to add Chris, and we have been able to offset a little bit of that in the first half, because as Robert said earlier, we have some loan losses in S&IP that the sales team had done a great job of retaining and slowing some of those losses. But as we think about the second half, we see some of those are beginning to bite.
Kristen Stewart: Okay, so the tenant loss was just in S&IP – on the S&IP side…
Steve Voskuil: Yes.
Kristen Stewart: Okay and so it just basically the better performance in S&IP that you've seen so far this year that you are able to offset whatever your risk-adjusted number had been previously coming into this year?
Steve Voskuil: Yes, the majority of the contracts are S&IP and obviously there is many, many different contracts across all of our categories. So but S&IP is the one that we signaled. They will expect some volume loss in the second half of the year compared to the first half.
Kristen Stewart: Okay because this space that you’re still tightening the range so it’s not as if you are lowering it because you've just lost it but it seems like you just tightening the range for S&IP.
Steve Voskuil: Correct. 
Kristen Stewart: Okay, all right. And then just kind of looking at, you said on SG&A you are just expecting a slight increase because that seems that also a bit different relative to what you had been talking about kind of coming into the year? Is that also correct just trying to understand that commentary as well?
Robert Abernathy: Yes, so compared to Q2. In Q2 we ended SG&A at 23.8% and I’d say we will go up slightly from that 23.8%. So think about some increases, as there is still some phasing of spending later in the year. We will get – we only had two months of CORPAK SG&A built-in into this quarter, each quarter going forward we will have the full impact of CORPAK SG&A added in. So I take it up a bid from that 23.8%.
Kristen Stewart: Okay, perfect. All right and I’ll let Steve go work on the taxes since he is clearly still has room to grow.
Robert Abernathy: Absolutely [Multiple Speakers].
Steve Voskuil: Don’t letting off the hook on that one Kristen.
Kristen Stewart: I’m not letting him quite on that. All right, thanks guys. Have a good one.
Operator: [Operator Instructions] Our next question comes from Chris Cooley of Stephens. Please go ahead.
Chris Cooley: Good morning and thanks for taking the questions.
Robert Abernathy: Good morning, Chris.
Chris Cooley: So just quickly maybe here at the end, could you maybe just give us a little bit more color on the M&A environment? Obviously CORPAK looks to be a very strong acquisition and you alluded to $400 million in capacity at year-end. Just talk to us a little bit about one what you are seeing in terms of how close the buyers and sellers are on valuation and simply maybe with a change in FX your buyers between domestic versus maybe OUS acquisitions and I have just one other quick follow-up.
Robert Abernathy: We continue to see a fairly active M&A environment, we’re getting a lot of suggestions from bankers of companies that are coming to market or currently in the market. We’ve been active in terms of those discussions as I said earlier. Valuations look to be similar to what they have been over the last year or so. I think the valuations peaked about maybe a year ago and have dropped maybe a slight bit but not dramatically. And in terms of how far sellers and buyers are apart can’t give you a lot of indication on that. It just depends on business by business. But we obviously were able to come to an agreement on CORPAK and we feel very good about that one. In terms of how we’re thinking about M&A we’re still focused on acquisitions that meet our strategic plan. In other words, medical devices that are growing at or above the current rate of our medical device growth with margins at or above the margin profile of our medical device business. So that’s really how we’re thinking about M&A. I think if I had to give a very general comment, I’d say we’re saying more small companies or parts of companies, we are seeing more CORPAK size, more $30 million to $70 million as oppose to $100 million to $500 million acquisition opportunities. And clearly with CORPAK we’ve been able to take that $50 million plus acquisition and the integrations underway. So we feel good about that. Domestic versus foreign, we think most of the acquisition opportunities we see are still domestic. We do look at acquisition potential that are in Europe or Asia but most of those that come across our desk are domestic.
Chris Cooley: Thank you. And then maybe just two quick housekeeping type questions for Steve. Steve if I look back to my notes I think distributor inventory build contributed about 1% versus the normal run rate if we look back to the 1Q. Just curious kind of how that trended during the second quarter. And then lastly from me and I’ll get back in the queue. Could you just give us an update on where you are in transitioning some of the product I believe primarily outside of the U.S. its still Kimberly-Clark signage if you will to share to Halyard?
Steve Voskuil: Sure. On distributor inventory we are exactly right Chris, we built some in the first quarter, second quarter was flat. So we didn’t feel that distributor inventory is increase but nor did they come back down to more normal levels that’s one of the factors that impacts the S&IP falling and if you look first half, second half. So we’ve built-in a little bit of a drag in the second half, assuming those distributor inventories normalized. And on the second question, we continue to be right on track in terms of the rebranding efforts, right in the throes of it. But I’d say the light is visible at the end of the tunnel and the teams are continuing to transition working through the long tail of some of those transitions yet but everything is on track from a budget and timing standpoint.
Chris Cooley: Thank you and congratulations on a great quarter.
Steve Voskuil: Thank you.
Operator: And this concludes the question-and-answer session. I’d now like to turn the conference back over to Robert Abernathy for any closing remarks.
Robert Abernathy: Yes, just again thank you for your interest today in Halyard Health, appreciate you dialing into the call. Thank you.